Operator: Good morning, and thank you for standing by. Welcome to the Associated British Foods Trading Update Conference Call hosted by George Weston, CEO; and Joana Edwards, Interim Finance Director. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to George Weston. Please go ahead.
George Weston: Good morning, everyone, and thanks for joining this call. We've got quite a lot to go through because we've had a very busy second half. This, as a reminder, is the trading update for that second half of the 2025 financial year. I am pleased with how the group has performed in the second half. The environment is very challenging given ongoing consumer caution, geopolitical uncertainty, tariffs in particular, and actually persistent inflation in both the U.S. and in the U.K. markets, particularly around food. Let me start with Primark, where our overall sales are expected to be up 1% in the second half. Very pleased with the strong improvement in trading in the U.K. and Ireland. Total sales expected to be up in the second half after a difficult first half, particularly in the months that followed the budget. The product offer was strong. Womenswear is absolutely flying. The execution is good, both in-store, but also in our digital engagement. We're trialing our app, which is coming soon to all markets. Click & Collect is fully rolled out in GB. And we're continuing to optimize the store estate in the U.K., a couple of new stores and then refurbishments. All this contributed to the market share gain in the U.K. market. So from 6.6% in the first half to 6.8% in the second half gives us great confidence. In Continental Europe, the consumer environment is very difficult. Spain is, I think, more driven by income in France. It's driven, not surprisingly, by sentiment. So the second half trading after a strong first half or a very good first half in Continental Europe has been soft in the second half. U.S., good. We've opened a number of new stores. They're trading well. We are, just this week, beginning to raise prices to pay for the tariffs. The rest of the U.S. clothing retail sector is doing the same thing as best we can see. But the U.S. delivered good growth in the first half and the second. We opened 15 stores in the second half. We're actually opening two today, one in France, in Montpellier, and one in Italy. So the rollout continues. As a reminder, our first store franchise operation in the Gulf states opens before Christmas. And we think that those markets, the Gulf state markets, will be very good ones for us. Primark's profit delivery in the second half remains strong and adjusted operating profit margin for the full year broadly in line with last year. So that's Primark. Difficult consumer environment, but actually trading well. And lots of, I think, the ranges going into autumn/winter, very strong. Womenswear, good. Moving to the food businesses, where trading in the second half has been fully in line with our expectations. And we have given an update today where guiding Sugar profitability. There's profit improvement in Sugar to be delayed. We'll get some back next year. We'll be clearly profitable next year. But the restoration of margins in the European market will take a bit longer. Europe remains oversupplied. Africa, on the other hand, is doing really well. We are very close now to the commissioning of the new plant in Tanzania. Important step for us. That's one. We've done what we said we were going to do in tackling some of the difficult areas. So Vivergo very sadly has gone. It didn't need to end up where it did, but being closed. But sadly, the Vivergo part of our history is now been and gone. The restructuring of our Spanish Sugar business has again occurred. There's more to do, but we've taken a great hack out of our cost base in Spain. As I say, there's more to be done. Again, that Spanish business then will depend on the restoration of more sensible European Sugar business. The cost base is much reduced and will be further. And then in the U.K., where after dancing around each other for seemingly years, we've reached an agreement to acquire Hovis, subject to CMA approval, of course. It's an opportunity -- it gives us an opportunity to extract very significant synergies and to create a sustainably profitable bread business, which is then a platform for innovation. It's important that we all look at this merger not so much as a synergy play, not just as a synergy play, although that's important and big. It's also a new platform for improved consumer offers. As I mentioned, it's subject to CMA approval, and we've begun to work through that process. Always much more to be done, but we've done a lot. The restoration of a much better level of sales performance in the biggest market, the U.K., has been a standout trading in the U.K., actually across Continental Europe in the last few weeks as we got into the spring -- sorry, into the autumn/winter ranges has been very good. So we're confident in the performance looking forward. With that, let me hand over to questions.
Operator: [Operator Instructions] We will now take the first question from the line of William Woods from Bernstein.
William Woods: The first question is on Primark. Obviously, you've seen slightly softer performance in France and Italy over the last few months due to the macro. Do you think you're losing market share here? And I suppose when you look at the opportunities for expansion, France and Italy are key markets for that. Are you still comfortable on the relative market position in those markets? And then the second one is, obviously, U.K. bread has been a challenge for a long time, and you've talked about fixing the problem children. Why did you decide to make that problem potentially bigger by acquiring Hovis? And do you still see this as rational capital allocation?
George Weston: Okay. France and Italy fundamentally are good markets for us. It's quite hard to track market share in both countries because our presence is reasonably small still. But yes, good first half in both markets, poor second half in both markets. I think it's a consumer sentiment issue rather than a loss of relevance. There's no reason to think that we've lost relevance in either market. U.K. breads then, I think we went down this route, but having thought about a number of others, because in the end, it's the most profitable thing for us to do. And we pay -- the synergy benefit from this merger is very, very big and gives us a platform to move from there. It would have been very -- given the scale of the losses in Allied Bakeries, it would have been hard to have sold that business for any significant consideration. To have done that, to have given it away would have been value destructive. We think that the platform that we create by merging the 2 supply chains will be a very strong one. We've got to wait for the CMA, of course, but I think it was a very rational decision.
Operator: We will now take the next question from the line of Grace Smalley from Morgan Stanley.
Grace Smalley: My first one would just be on Primark margins. I know you reiterated your guidance for this year. But just as you look ahead, could you comment on how you'd expect kind of Primark margins to evolve from here and the headwinds and tailwinds we should be taking into account as we forecast Primark margins for next year? And then my second question would be on space. I think for Primark, you previously said that you'd aim for kind of your medium-term growth contribution from space to be around the 4% to 5% mark. And this year was always expected to be at the lower end of that. But could you just confirm that you still see 4% to 5% as the right medium-term range? And where we should expect that to land next year or whether that should again be at the lower end for next year? And then my last question, sorry, also on Primark, would just be on the competitive landscape. We've heard from Inditex this morning that they are testing their lower price point banners, Lefties, into new markets. So just would be interested to hear your take on the current competitive landscape for Primark and any changes you're seeing, if any?
George Weston: Okay. Primark margin, I'm going to share the answer to this with Joana, who's sitting beside me here. There are currency tailwinds. We won't see them really until the second half. There are, we believe, some opportunities for a company which is still -- where 90% plus of our sales are coming into Europe against the States to benefit from American retailers making different decisions and the American market looking less attractive for Asian suppliers. Joana, what else would you say about that?
Joana Edwards: Well, we probably will see some tailwinds on freight. We have seen this year some tailwinds on stock loss. So there's nothing more to signal there. We're hoping to get even further under the skin of that. And then we continue to look at efficiencies as well, which are important because, as we said before, we want to invest some of that back into creating demand. So not necessarily putting it into the overall margin level, which we have said we are comfortable with now. It's back to pre-COVID. But yes, those tailwinds, there are some tailwinds, as you very rightly said, Grace.
George Weston: Space, I think 4% feels about right for next year. And then into the future, we'll see how -- as you know, we've been very disciplined about not chasing space where it doesn't make -- where it isn't good space, and we'll continue to do that. But yes, around about 4%. Then the competitive landscape. Lefties is a very good operation. We've competed very successfully against them for many years in Spain. And I have no doubt at all that they have something to offer consumers in other markets as well. But just as we've competed well with them in Spain, so we'll compete well with them anywhere else. I think there is potentially a reduction in the competitive intensity from people using de minimis legislation. That's going to help us somewhat in the European markets. We hope the U.K. government gets its head around that as well. And just maybe there's a little bit of help going on from that same source in the United States. So competitively, we feel in good shape.
Grace Smalley: Okay. Very clear. And sorry, just a follow-up on the margin commentary. If I put everything you said there together, clearly, there are a number of tailwinds. But then at the same time, you also said you're comfortable with the overall margin level that you've reached at the moment. So is the idea that you will be reinvesting some of these tailwinds back into the Primark business? Or are you happy to let some of these tailwinds flow through to some margin expansion as we look ahead?
George Weston: I wouldn't be modeling an increase in the margin next year. We've got a lot of plans around reinvesting, as Joana said, in demand creation.
Operator: We will now take the next question from the line of Monique Pollard from Citi.
Monique Pollard: Three, if I could. The first is just on the U.K. market share gains that you point out in your opening comments in the statement. Just wondered if you could give us a sense of how much benefit you thought you got from Marks being down during the cyber, and whether you think you can retain the share gains from Marks now that it's back up and running? The second question was just to try and understand, in the agriculture business, you mentioned lower contribution from the joint venture, Frontier. Just wondered the scale of that lower contribution, please? And then the final question, again, on agriculture. I'm just trying to understand whether agriculture needs to get rebased going forward, FY '26 onwards, to a lower level, because you don't have the byproduct of animal feed from Vivergo ethanol production anymore?
George Weston: Yes. Okay. No, we don't think our share gain was down to Marks being offline. We watch the switching data, and we didn't see anything that would indicate that, that was going on. We think the share gain has been about excellence in womenswear in particular and which continues as we get into autumn/winter ranges. And we think maybe a little bit of sharpening up of price perceptions and then the consumer having a little bit more confidence than they had in the aftermath of last year's budget. So I think that, that is where share gain is coming from. In aggregate, the JV, probably this year's underperformance has cost us between GBP 5 million and GBP 10 million. That's our share of post-tax profitability of that business. It was a horrible year to be either a grain trader or a supplier of inputs into the cereal sector, because the weather was about as unfriendly as it could have been. We think that, that will -- it's hard to imagine a worse year for that business, and some of that at least will come back. Yes, you're right that Vivergo -- the sales of Vivergo to particularly the dairy sector have come to an end with the shutting of Vivergo, probably worth between GBP 2 million and GBP 5 million to us. That's the sort of scale. So the agri business has been making kind of high 30s, low 40s. So it's not a wholesale rebasing we'd be advising you to consider.
Joana Edwards: Yes. And I think, if I can add, the agriculture performance this year was impacted by one-offs. So yes, it's below prior year, both for the first half and now for the second half. But as George said, there's a weather impact on Frontier. The one-offs are significant. And therefore, those are not to be carried forward. As George said, I think that the figures that we've seen historically, yes, there is the Vivergo impact, which is not very material for the overall agri business, should allow us to go back to that sort of level that we had in the past.
Operator: We will now take the next question from the line of Georgina Johanan from JPMorgan.
Georgina Johanan: I've got a few quick ones, please. Just first of all, in terms of the reinvestment that you're making in the Primark business, it would just be good to hear a little bit more about that. Obviously, we've seen the new marketing campaign in the U.K. So is that more around communication of the offer? Or is there actually some price investment going in as well, please? Second one, just in terms of the strong performance that you're seeing in the U.S., it would be good to understand if the stores were back in or were now in like-for-like growth in aggregate, please? I do appreciate the subtleties around sort of space rollout and cannibalization and so on, but it would be good to understand that. And then just finally, in terms of the Hovis acquisition, assuming that's approved, what sort of time frame is it for those synergies to come through, please? And I think the synergy number that was quoted in the press was around GBP 50 million or so. It would just be good to understand if that was a sensible number to be thinking about.
George Weston: Okay. I mean in terms of Primark reinvestment in consumer, yes, some of it is price. You will have seen the Palazzo jeans at GBP 12 as part of the denim offer, which we've been advertising. We've gone on air with specific range advertising in the U.K. for the very first time, and we'll see what that does for us before we decide whether we're going to do more. There's a lot of investment in digital. There's more paid marketing. There's more search engine optimization going on. There's also investment in capabilities. So the app is being trialed at the moment and will be available, we hope, in just a couple of months' time. So wide range of reinvestment in both the systems that allow the digital communication to keep on improving and also some reinvestment in -- some investment in above the line and then selective price reinvestment. We think that our price gaps are as strong as they've ever been. So we think competitively that we're very, very well placed. We're addressing or we have addressed I think, the beginnings of perceptions around our pricing. It was never a reality, but we've been working hard in campaigns like Never Basic and also, I think, the jeans offer that is in stores now. U.S. like-for-likes. We didn't talk about the like-for-likes when they weren't great, and we're not going to talk about the like-for-likes when they're much better. Otherwise, I'll have to talk about them when they weren't great again. But we're very encouraged by what we've seen in the second half, both in the performance of new stores and also in same-store sales, but I'm going to take a bioscience of where we actually are. Hovis, we expect that the process with the CMA will probably take a year. Maybe we can shorten that, because we believe the case we've got to put to them that this is in the consumers' interest is very strong. And then to harvest the synergies, think of it -- well, different waves of it, but we get most of them done in another year, and we get some of them done much quicker than that. But there's a bit of engineering to be done moving bread lines around and so on, and that takes a little while longer. But it will be pretty quick, and we know exactly what we want to do. And sorry, the GBP 50 million number. I think it's bigger than that. Not much, but that's same gang, but probably there's upside to that GBP 50 million.
Operator: We will now take the next question from the line of Warwick Okines from BNP Paribas Exane.
Alexander Richard Okines: George and Joana, I've got 3 as well, apologies. Firstly, just sort of to be a bit more direct, do you think you will have average selling price deflation next year in Primark? Secondly, do you think '26 looks again like a year of higher gross margins in Primark funding operating cost inflation? And as a sort of part B to that, could you tell us what you're expecting for business rates, please? And then the third question is on sugar. A year ago, when you were contracting at this time of the year, you said that the prices were down as much as EUR 300 per tonne. Where are you now? Is that a bit higher year-on-year? And maybe just quantify that.
George Weston: Okay. Selling price deflation. No, I don't think we will see it. If we need to move our prices down, we will, but I go back to the answer I gave to Georgina. Our price points are exactly where they need to be. Our price gaps are exactly where they need to be. Higher gross margins funding higher costs. Yes, to some extent, labor costs in markets are up, but we have a lot of self-help, too, self-checkouts, for example, improvements in supply chain efficiency, improvements in internal data transfer. All these things help reduce our cost base. There's not a lot of inflation coming in from the cost of goods. And obviously, currency, it moves around a bit. But we're looking at the second half with a bit of a following wind against the dollar. Where do I expect business rates to go? I wish I knew. I think it would make a lot of sense for the government to reverse its course on higher business rates for larger retailers subsidizing the rest. If you want a vibrant high street, you need the anchors to be in good shape, and the higher business rates act clearly against that. What was -- there was the last point on sugar prices. Yes, they've gone up a bit, but not as far as we thought they were going to go. We thought that more acreage would come out of beet growing across Europe. It didn't. We took our acreage down a bit in other areas. In Continental Europe, the beet acreage actually went up. I'm not sure how rational some of those decisions that led to that were. In Spain, we've obviously taken out processing capacity in shutting 2 beet factories. There is other processing capacity that is being taken out in other parts in Europe. So sense is slowly returning to the market. I thought it would come back quicker than it has. That's why I made the comments about these much lower prices being temporary. They are still temporary. They're just longer.
Operator: We will now take the next question from the line of Richard Chamberlain from RBC.
Richard Chamberlain: I wondered if -- I've got 3, sorry, to continue the trend. But on starting off with Primark, George, I think the statement says that Primark sales were softer in a weaker German market in the second half. I wondered if you saw a big difference in Q3 and Q4 trends in Germany. That's the first one. The second one is around Primark advertising, the "In Denim We Can" campaign. Is that a sort of precedent for other markets or other parts of the business? Should we expect now a sort of more permanent step-up in marketing costs? And then just finally, back on the Sugar side. I just wondered if you guys can give a bit more color on the sort of moving parts for the Sugar profit bridge into next year. It sounds like you're targeting a small profit overall. But I was wondering how Illovo might play into that? And then I guess, following on from Warwick's question, how much of a drag could pricing be into next year?
George Weston: Yes. Okay. Do you have the Q3, Q4 Germany split? You're not exactly down in the weeds, but it's -- I don't have it in my head. So that's 3 and that's 4. Yes, Q4 was worse than Q3. Both were negative, but after a very strong first half, albeit helped by the tailwind of the strike of the previous year being resolved, Q3 was mildly negative, Q4 rather more so. That's that one. Marketing campaigns, we're convinced that we have to work harder to get the attention of shoppers more generally, but particularly in an environment where consumer confidence is not great. So I think our investment in consumer-facing activity, whether it's digital or whether it's above the line, will be higher in the future than it's been in the past. As to on-air advertising of a particular range, denim in the U.K. in this example, we'll just have to see how that works for us. Early signs are good, but we won't do it again if it doesn't increase our profitability. But there's lots of other investments in consumer relationships and the systems that support it. So as I said, the app is coming and coming quite soon. There's more search engine optimization work going on. There's more paid media going on online. And that works for us. That's working for us. If I then go to the profit bridge of Sugar, essentially, margins in both Spain and the U.K. are a little bit better, but still very soggy. And Spain, we've taken a great hack to our cost base. There's another one coming. But if the most profitable -- sorry, the most efficient and historically profitable part of the European sugar processing world, which is British sugar, is still not making a proper return, then Spain won't be either. So it is a pricing issue. And so as I say, U.K. will be a bit better, but not dramatically so. We've obviously got lower beet prices and then lower beet prices in the year ahead. But equally, some of the 2-year price deals, which held over until the year just gone, have now fallen away. And so net pricing actually hasn't moved all that much, even though the headline 1-year pricing is up a bit. Africa is going well. It would be great to have Tanzania up and running. We're probably 1.5 months away from making sugar, but these are beasts to commission. So that might take a while. Zambia, really good; Malawi, really good; Eswatini really good. So Illovo is in great shape. It's a European pricing issue caused by oversupply in the European market. It's a commodity business. This stuff happens from time to time.
Operator: We will now take the next question from the line of Anubhav Malhotra from Panmure Liberum.
Anubhav Malhotra: I've got a couple on the Sugar business. You have touched upon a lot of them during your answers previously, but a bit more deep analysis into those. So in Tanzania, if I can ask, maybe give us color on what were the reasons for the delay, because I guess you were expecting it to start in the second half of this year, and now it's been delayed by a couple of months. And then also on the same, how do you expect the production facility to ramp up to full production, over what period of time? And what sort of profit contribution do you think that ramp-up can help you make? I mean, broad figures maybe. Obviously, you can't give me an exact answer on that, I guess. And then, again, on the sugar pricing, on the European sugar pricing, I would love to understand, compared to your views which you last gave us in April, how the sugar price has evolved compared to what you thought at that time? Because I noted in the press release, you have mentioned that they have been a bit lower than previous expectations. So just double checking if they're lower than what you had been expecting in April. And then the last one on Azucarera, just on the restructuring, potentially a broad figure on how much cost we have taken out of the business? And if, even at these levels, would the business now be like breakeven or still loss-making at these sugar price levels?
George Weston: Okay. So Tanzania, I don't want to sound defensive, but in a project that's taken the best part of 3 years and started at the end of COVID in a country where there's not great infrastructure, to be a couple of months delayed, I think, is not too bad. But it is frustrating. When you're nearly there, you want to be there. Ramp-up of Tanzania is -- it might be reasonably quick. We know how to run sugar factories. There's a lot of equipment that we understand well that's been put into this new factory. So there's not a huge amount of technical newness to it. But I think that it's one of these plants where we'll get kind of 70%, 80% of the way quite quickly and, I mean, in a matter of kind of 3, 4 months. And then the last 30% may take a year or so as we come to kind of optimize processes. Profitability, well, we've said that we're spending over $200 million on this thing, and we wouldn't have signed it off if we didn't think we were getting a kind of a proper return for the risks that Africa has, so higher than our average returns across the rest of the group. So there's quite a lot to play for in that investment. European sugar pricing. I'm going to sort of be in danger of repeating myself. Acreage didn't come out as we thought it would come out. And we've still got to see whether the unusual weather has reduced yields across Europe, which would then take supply out. Early signs is that there might be some yield reduction, but not enormous. There's been some disease, but not a lot. But we'll know much more, both in terms of U.K. supply, but also European supply probably in the next 6 weeks or so. There is, as I say, capacity that's come out of manufacturing across Europe, but I can't hide the fact there's too much sugar in Europe, and there's quite -- stock levels are also quite high. And even if we got supply well under demand, we've still got a stockholding to use up. And using up that stockholding will keep prices depressed for a little while yet. So I don't think -- I mean, what is all coming back to is I think there's some cost improvement, some pricing improvement in the new campaign year, but it's got a long way to go in subsequent years. Azucarera -- no, I don't think there's a profitable sugar business in Europe at the moment. And Azucarera has taken some tens of millions out of its cost base and quite a lot more still to go. But even having done that, it will still be loss-making because everyone in Europe is loss-making at these selling prices.
Operator: We will now take the next question from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Only a couple. Just maybe going back to Primark. Can you perhaps talk to the analysis that you do to reassure yourselves on the weak like-for-likes in terms of consumer demand versus sort of homemade cannibalization and how you analyze that and how that sort of trended over the past sort of year by quarter. If you've got some insights, that would be very helpful. Secondly, on grocery, George, I think the statement draws attention to good growth in international brands, clearly flagging U.S. brands, local brands performance there. Just can you expand a little bit more here and also give us some ideas in terms of how we should think about the year ahead in terms of growth in the division and profits?
George Weston: Okay. Weak like-for-likes, you look at the market share data and you triangulate. Those are the 2 big ones. So what are other people saying about their own performance, other people who are supplying a similar part of the market. And then as I say, in some countries, we've got better share information than in others. In the U.K., for example, we've got good share information. And as we made clear in the statement, our share performance in the second half in Primark has been very good, even if the headline -- I mean, the headline like-for-likes are so much better, but the consumer remains weak. In some of the other markets, France, Italy, we have less good market information. We have some, and we have the read across. We're very comfortable, for example, that particularly outside Paris, everyone is finding the consumer in a pretty bleak place. So yes, that's what we do. It's a company where internal communications are pretty good. There's a rich theme of anecdotal that turns into kind of directional information that comes up from the businesses and what they're seeing in their shopping centers and their high streets and amongst their competitors. And it's an industry where shopkeepers do talk to each other, and we get a sense of what's going on. Grocery -- yes, sorry.
Joana Edwards: If I just may, on your point about how we look at cannibalization as well. Just because -- and I think your question goes to our like-for-likes always a measure we should be using in every market. And the answer is no, which is the reason why we don't have like-for-like figures for some of our markets. And how we think about that as well is, for some of our markets, we have got lots of white space. In fact, for a lot of our markets, we still have a lot of white space. So adding stores and looking at it as a total market makes sense. For example, in Portugal, where we've opened 3 stores this year, which is 30% more than we had before, because we had 10 stores, having those 3 stores was something we have been looking for, for a while, right, George? Because it's a country where every store is quite accretive. It's a very profitable market. We wouldn't look at a like-for-like in that case. We would look at, are we overall better off? And do those stores, in the context of their capital approval levels, make sense for that market. I don't know if that's where your question is going as well, but I thought it was important to give that.
George Weston: Yes. Joana, having made that absolutely correct and very sensible remark, I've spent 20 years trying to persuade some people that there can be good negative like-for-likes, particularly in a process of rolling out. And I've failed in some cases. And I'm sure there are some of you who will be sitting here going, actually, no, there's no such thing as good cannibalization. But there is. Grocery has been good. Twinings, in particular, has had a strong sales year and has momentum into next year. We've had cost pressures in Ovaltine with chocolate costs that we've been dealing with. I think the worst of those pressures is behind us. The price adjustments to compensate for those have been taken, and all the collateral battles that accompany that pricing have been fought and they are in the past. So grocery, good. Acetum's balsamic vinegar. We know where the tariff level is going to be in the States now with more certainty than we've had through most of the second half. And the work to recover the cost of tariffs is largely behind us. So that's good. U.K. grocery businesses have been fine and, in some cases, good. So we're very comfortable. Australia grocery, the consumer has been in a difficult place. Australian consumers, we think, are coming out of that. So we hope to get some growth out of the Australian market next year. And the States, the last one that's worth picking up, we have a very large share of Hispanic consumers in Mazola. And there's a lot of fear in that community leading to expenditure declines. So we're facing into that, too. We really hope that, that's temporary for all sorts of reasons. But Mazola volumes -- market share of Mazola, really, really good, but absolute sales affected by reduction in the propensity to purchase of some of the Hispanic populations in the south of the country.
Operator: [Operator Instructions] We will now take the next question from the line of Ashton Olds from Redburn Atlantic.
Ashton Olds: I'm going to painfully ask 3 questions as well. Just...
George Weston: Please ask. I don't know why you're apologizing for 3 questions this time around, because we always get 3 questions.
Ashton Olds: Yes, exactly. I guess the first one just on tariffs. You've sort of mentioned that you've done some work on pricing, both in food and Primark. I'd just like to sort of clarify whether you're expecting to offset all of the tariff costs? And if so, is it about rebuilding percentage margins or just gross profit dollars? The second bit is just around Click & Collect and the contribution from that, whether it's sort of -- I think in the past, you've mentioned that you expected 1% of the like-for-like boost or so from Click & Collect. Is it at that level yet? I guess, initial learnings from rolling it out across all of your stores in the U.K. And then the final question, just I've seen your negotiated beet prices for FY '27 and some back of the envelope math points to about a GBP 20 million cost tailwind. Is that roughly right?
George Weston: Because it's the quickest one to answer, beet prices, yes, you're about right. It's about -- every pound of purchase cost is about -- well, we're buying 7 million tonnes of beet, give or take. Tariffs, we're just after the cash cost recovery, not the gross margin -- not the margin percentage. And we've got, give or take, in the food businesses, most of it back. There's still a little bit to go in some areas, but we're in small numbers of millions of pounds that we still need to recover. So most of that work has been done and now done in a world where we understand the tariff rate from Europe and from the U.K. into the States. There's still some movement around with ingredients we're buying from China into the specialty ingredients companies in the States. So there's a little bit of uncertainty there still, but it's, again, reasonably small numbers. We haven't moved the prices yet for Primark to recover the tariff effects for that business, but we're beginning -- we're actually doing so, or starting the process of doing it this week. And we're watching our major competitors moving their prices too. So we feel pretty comfortable that although there may be some consumer pushback, that we're not going to lose our competitive position through taking those steps. Click & Collect, yes, I think 1% is still a pretty good number. And no, we're not up to 1% yet. I mean, we only got the capability fully rolled out in GB. So it's been a small number of months. Until it was available to everyone, pushing the consumer awareness up wasn't the right thing to do. It is now we're doing it. We're also in a better place to work out. Click & Collect helps 2 sets of consumers. One set is those that find it more difficult to get to the high street and they can get certainty that if they want something, they can buy it online and it will be there, and that's great. Particularly those consumers who don't have access to the full range that's available in a big store, perhaps their local store only has a proportion of the range. The range for them has effectively expanded because of Click & Collect. That effect we're seeing and seeing well. There's a second sale that we're after, which is about extending ranges. So leg sizes in jeans, for example, will be more available on Click & Collect and in some other product areas. So there's a sizing ranging. We can keep swimwear available throughout the year on Click & Collect, where we need the space back in stores and other things. All that experimentation is underway, but we're not -- it is not complete yet. So there's more to come from Click & Collect, but I think that 1% LFL remains a pretty good number.
Operator: There are no further questions at this time. I would like to hand back over to George Weston for closing remarks.
George Weston: Look, I think we've had a good knock around most of the business, Primark and Sugar in particular. Sugar will come back. We're frustrated that it's slow, but it will probably take another year. But we do, in the U.K., in particular, have a great sugar business. And in Spain, we're making what we have better and better. Don't forget Ingredients, it's had a good year, and it's got lots of growth potential ahead of us. We hope the consumer will -- European consumer, in particular, will feel more confident at some point in the future. And when that happens, we think we've got the offer to drive good like-for-likes again. The investments increasingly, this high level of investments, particularly in food are increasingly commissioning now. We'll see the benefits of those both in this year and then particularly in the year after. There's lots going on. We've tackled what I could sloppily call the problem children. And yes, we're looking to next year with enthusiasm, not that there aren't -- not there isn't a difficult environment to trade in, but we have a lot of confidence in the businesses. Let me stop there, and thank you all for attending this meeting. We'll speak again, I think, in November.
Joana Edwards: Yes.
George Weston: Good. Thank you.
Joana Edwards: Thanks, everybody.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.